Operator: Good day and welcome to the Cousins Properties Incorporated Third Quarter 2008 Earnings Conference Call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Chairman and CEO, Tony Bell. Please go ahead, sir.
Tom Bell: Well, I want you to know I haven’t changed my name. It’s still Tom Bell. And I want to welcome everybody to the call this morning. With me are Dan DuPree, our President and Chief Operating Officer; Jim Fleming, our CFO; and Craig Jones, our Chief Investment Officer. And at this time I would like to ask Jim Fleming to review the financial results for the quarter. Jim?
Jim Fleming: Thank you, Tom. Good morning, everyone. Thanks for your interest in Cousins. Certain matters we'll be discussing today are forward-looking statements within the meaning of federal securities laws. Actual results may differ materially from these statements. Please refer to our filings with the SEC, including our Annual Report on Form 10-K for the year ended December 31, 2007, for a discussion of the factors that may cause such material differences. Also, certain items we may refer to today are considered non-GAAP financial measures within the meaning of Regulation G as promulgated by the SEC. For these items, the comparable GAAP measures and related reconciliations may be found through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of our website at www.cousinsproperties.com. This quarter we reported FFO of $0.41 per share compared with $0.31 last quarter. I’d like to highlight the factors that contributed to this increase in FFO. You can follow by looking at our supplemental package beginning on Page eight. Revenues from our operating properties are increasing as development projects become operational and recently signed leases commence on our existing properties. Rental property revenues less rental property operating expenses for consolidated properties increased $1.6 million between the second and third quarters. $1.1 million of this increase came from recently opened retail projects, The Avenue Forsyth and Tiffany Springs MarketCenter. One Georgia Center contributed $447,000 of this increase as the Georgia Department of Transportation lease took full effect in the third quarter. One Ninety One Peachtree also continued to improve in the third quarter due to increased occupancy. FFO from outparcel sales was $1.6 million in the third quarter as a result of the sale of two outparcels at The Avenue Carriage Crossing. FFO from track sales was $2.1 million, a decrease from the second quarter of $3.6 million. Third quarter track sales gains resulted from the sale of 486 acres of our Paulding County land, the sale of three acres at our Village Park subdivision and the sale of four acres at our Summer Lake subdivision. Second quarter sales had included the sale of the 28 acres of The Avenue Forsyth, the sale of 75 acres at Jefferson Mill Business Park, and the sale of 30 acres at our Long Meadow Farms residential project. Profits from lot sales increased by $174,000 due to a decrease in lots sold from 80 lots in the second quarter to 50 in the third quarter. Other joint ventures decreased $493,000 as a result of our recognizing $251,000 on an oil and gas lease in the second quarter and a second quarter adjustment to write off minority in a Temco project. Multi-family FFO increased by $1.9 million as we closed nine units at 10 Terminus and we completed the bulk sale of the remaining units at 50 Biscayne that we discussed last quarter. Development income increased $13.1 million because we received a $13.5 million fee under a contract we assumed in the acquisition of Faison-Stone several years ago. This contract provided that we will share net proceeds over cost from the sale of a building leased by Motorola in Texas. This building was sold in the third quarter for cash and a note from the buyer. The fee we recognized represents our share of the cash portion of the proceeds. As the buyers make payments on the note to the seller, we will share in these payments and we’ll recognize additional fee income in future periods. We do not expect the amounts to be significant in any quarter, going forward until principal payments are due beginning in October, 2014. In connection with this fee, we paid a $3.4 million commission in accordance with a pre-existing arrangement put in place by Faison-Stone. This commission is included in general and administrative expense for the third quarter. Both the $13.5 million development fee and the $3.4 million commission occurred at our taxable subsidiary, Cousins Real Estate Corporation. So the net effect on FFO for the quarter was $0.12. Also in the third quarter, leasing fees increased by $596,000 as a result of third-party leases signed at Concourse and Lincoln Centre, and we recognized termination fees of $355,000 from the termination of a lease at The Avenue Webb Gin. With respect to G&A expenses, we’ve changed our presentation on the income statement and in the supplemental package. On the income statement we now have a new classification of G&A expenses, ‘Reimbursed general and administrative expenses,’ broken out of the G&A category. Reimbursed G&A expenses represent costs that are reimbursed directly to us from third-party management contracts or management contracts with unconsolidated joint ventures. The amount we receive is included in fee income in the revenue section of the income statement. We wanted to separately state these expenses since they are merely passthrough expenses that are offset dollar for dollar by fee income revenues. In the supplemental package, we also separately stated the commission that related directly to the recognition of the $13.5 million development fee I just mentioned. Remaining G&A increased by $534,000 between second and third quarters. This increase is attributable to a $1 million contribution that we made to our charitable foundation and a decrease in capitalized salaries, offset by a decrease in personnel cost. Interest expense increased by $1.3 million in the quarter primarily as a result of a decrease in capitalize interest because of lower levels of development activity in our residential projects and other development projects becoming completed and becoming operational. Minority interest expense increased $515,000 in the third quarter as a result of a second quarter true-up adjustment that reduced minority interest to our 50 Biscayne venture partner and an adjustment in the third quarter to the amount we owe to our partner on CP Venture Three. Pre-development and other expense increased as a result of the write-off of cost associated with two retail projects that we are no longer pursuing. Income tax changed from a benefit of $2.2 million in the second quarter to an expense of $916,000 in the third quarter primarily because the $13 million development fee I mentioned was earned by a subsidiary of CREC and was therefore taxable. To recap, our earnings this quarter were higher than last quarter’s because of increased net operating income from properties as well as a few lumpy items such as the fee we received from the sale of the Freescale Motorola Building in Austin and some outparcel sales. We’ve talked in the past about these lumpy items, and although the timing can't be predicted land development is a core competency at Cousins. And you can expect these events from time-to-time. But I do want to point out from (inaudible) purposes that even though we can't be sure when more of these will occur we presently don’t anticipate any significant items such as these in the fourth quarter. I’d like to discuss our exposure to two retailers, Linens ‘N Things and Circuit City. Linens ‘N Things filed for bankruptcy in May and is now in the process of liquidating. And Circuit City announced on Monday a large number of store closings, including all of its stores in Metro Atlanta. We have four Linens ‘N Things leases that range from 28,000 square feet to 35,000 square feet. The two at North Point MarketCenter and The Avenue West Cobb are in our ventures with Prudential in which we have a minority interest. The third one is at The Avenue Murfreesboro, a 50:50 venture with Faison, and the fourth is at The Avenue Carriage Crossing where we have substantially all the exposure. On an aggregate basis, Cousins’ annual exposure to rent and other payments from Linens ‘N Things is $978,000. For Circuit City, we have three stores, the two larger stores being 33,000 square feet at North Point MarketCenter, and 39,000 square feet at Los Altos MarketCenter, both of which are in our first Prudential venture in which we have a minority interest. The smaller store, 20,000 square feet, is a new store at The Avenue Forsyth. Altogether, Cousins’ annual exposure to Circuit City is $606,000 for rent and all other payments. Based on the information we’ve received to-date it appears that the Los Altos store will remain open although nothing is certain. And as you would expect, we are working to find alternative uses for all of these stores, but I wanted to give you a sense of the order of magnitude of our exposure to these two retailers. Also, I want to point out a trend that is affecting our G&A expense, which is likely to continue into next year. Our G&A for the first three quarters of 2008 net of the extraordinary commission on the Motorola transaction and net of reimbursed expenses is $2.2 million less than it was for the first three quarters of last year. Of course, this is a positive in today’s economic environment and it has resulted from staffing reductions and other cost-cutting measures. But the reductions are less than they would otherwise be due to decreased capitalization. Our G&A numbers are reported under GAAP net of capitalization. And the capitalization is declining because we have fewer projects under development. Our capitalized salaries declined $1 million from the first quarter to the third quarter this year, from $4.3 million to $3.3 million. As a result, we could show a higher G&A expense next year than this year even with today’s staffing level due to reduced development activity. We will continue to look for ways to control our G&A expense as we move forward and we will update you on this in the future, but I wanted to make you aware of the impact of capitalization on our net G&A expense. Refinancing risk and liquidity are serious concerns for some real estate companies today and I’d like to take a few minutes to address Cousins’ financial position in these difficult credit markets. We have no loans maturing for the remainder of this year. And in 2009 we have several small loans of which our share is a total of $8.6 million. In 2010, our two largest loan maturities are for The Avenue Murfreesboro of which our share is $54 million and San Jose MarketCenter, which is $83 million. Both of these loans have extension option into 2011. The only other significant loan repayment obligation we have in 2010 is a 423 million loan on Meridian Mark Plaza. But the cash flows from that property will support a significantly higher loan amount. In normal times we typically operate with very little cash, relying on our credit facility for liquidity. In the current credit environment, however, we decided to increase our cash position. We do not expect any funding issues with any of the 16 banks in our credit facility and have continued to receive funding as requested. We felt that having cash on hand was prudent in this environment. At the end of the quarter, we had approximately $50 million in cash and we’ve since increased that to $90 million. Since we have construction loans in place for both Murfreesboro and Terminus 200, this $90 million is sufficient to fully fund all anticipated development cost and capital expenditures through 2009. We will maintain this cash as long as we feel it’s appropriate given the credit conditions and the overall market. And of course, while we have cash on hand, our line of credit balance and our interest expense will be somewhat higher. But we feel this a cost worth incurring in order to ensure our ability to fund all of our obligations. Interest rates have been quite volatile lately and at certain times LIBOR, which determines the rate on the credit facility as well as our Murfreesboro and Terminus 200 construction loans, spiked significantly. To mitigate this risk, we have executed two interest rate swaps to fix the underlying LIBOR loan on $150 million of our borrowing for two years at an average rate of 2.84%. With the current 95 basis point spread on the credit facility this will fix the all-in interest rate as 3.79%. As a result of these swaps, our floating rate debt, which was $284 million at the end of the quarter, or 29% of our total adjusted debt, was reduced to $134 million, or 14% of our total adjusted debt. One last subject I’d like to address is our bank credit facility. We have a $500 million revolving credit facility with 16 banks led by Banc of America. We now have $262 million drawn on this facility plus $5 million in letters of credit, leaving $233 available. The credit facility matures in August 2011, but we have a one year extension to August 2012. Due to the cash we have on hand, we don’t anticipate needing to draw on this facility through next year for any existing developments or capital needs. So, it’s available for other opportunities. None of the financial covenants under the credit facility are tied to our stock price and we’d modeled our financial projections through 2012 and don’t anticipate any problems complying with the covenants under this credit facility. All of this puts us in a much better position than many of our competitors as we look ahead to 2009 and beyond. With that, I’ll close my remarks and turn it back over to Tom.
Tom Bell: Well done, Jim. Well, as everyone knows, there has been considerable turmoil in the markets recently and Cousins’ stock price has suffered right along with the rest of the REIT universe. Concerns about the Cousins development pipeline in our retail portfolio as well as our residential business seemed to be on the minds of investors. Jim has addressed some of these points, but I’d like to come back to each of them. I’d also want to reiterate that we are in a much better financial position than many of our competitors and we are well positioned to take advantage of the distressed opportunities which while delayed thus far should eventually come our way as a result of the current downturn. First, let’s have a quick review of where we stand on our various projects. Our operating portfolio of office properties finished the quarter at 94% leased and in October, we closed the sale of the vacant 3100 building at Wildwood to Genuine Parts. I said before that I intended to deal with this building by the end of the year and I am pleased we were able to make that happen. As a result, our office operating properties are now 98% leased; a great place to be in the current economic environment. These excellent leasing results are not an accident. Our office team has done a truly superb job in taking the assets we chose not to sell in the 2003-2006 period because of vacancies and lease roll-overs and filling this space with good solid tenants including the American Cancer Society and the Georgia Department of Transportation. Over our forty years as office developers and owners, we have proven we know how to keep our assets leased in good times and bad. We’ve also had – have two new office developments and one redevelopment underway. We are still making progress towards leasing these assets although things have slowed down somewhat in the last 30 days. At One Ninety One Peachtree, we are 89% leased. Excluding the Wachovia lease that expires at the end of this year, we are 72% leased. We’ve signed a total of 800,000 square feet of new leases since we purchased this building two years ago. One Ninety One continues to provide great value for users seeking an A plus building in a preferred location at a relatively moderate cost and we are currently working with several additional prospects at One Ninety One. By the way, while our pro forma has always used 2012 as our stabilization day, we have not changed our expected full lease up of this building. We still believe we will be at 90% plus leased by mid-2010. Our Palisades West project in Austin is now 67% leased overall and our lead tenant, Dimensional Fund Advisors, took occupancy in October. Our second tenant, Four Star, will begin paying rent November 1st. And we are looking at a number of prospects for the remaining 124,000 square feet in this Austin project. That brings us to Terminus 200, our 565,000 square foot building in Buckhead, which is a 50:50 joint venture with Prudential. We now have leased a 100% of the office space in our first building, Terminus 100. Our second building, Terminus 200, is scheduled to deliver about a year from now and will be fully operational two years from now. While we have announced two restaurant leases at Terminus 200 to-date we have not signed any office leases. We have several good prospects, however, and are in negotiations for 250,000 square feet of the available space. Our issue there, as many of you know, is that even though there is a good amount of demand due to lease roll over, several other developers followed us into the market and decided to pursue buildings in Buckhead. So we are having to compete in a market with too much supply. Terminus has become the ‘go-to’ place in Buckhead and I am confident we have the best project and location as well as the strongest leasing team and as a result will ultimately succeed. Many of you who have followed Cousins may recall we faced similar issues in downtown Austin with our Frost Bank Tower building. There we did a good job of balancing timing against rental rates and concessions and we were ultimately quite successful in what was a very difficult leasing market. Generally, having the best asset in the market is usually enough to win the leasing battle. We will keep you posted as we make progress on Terminus 200. We have about 8% of our assets committed to our residential business and as you would expect, both our lot and condominium businesses are slow. We sold 50 lots in the third quarter and we expect to sell a total of just over 200 lots this year. At our one condominium project, 10 Terminus Place, we have now closed units and have 22 more under contract. Sales velocities are slow, but we have a very good product and we can't afford to be patient and make progress incrementally. Fortunately, we closed the bulk sale our or remaining residential units in Miami in August, leaving our venture with just seven commercial units. We’ve now closed on three of these commercial units, leaving us with very small remaining exposure to Miami. I am delighted to say we came very close to our original pro forma expectations with regards to return in our 50 Biscayne project. Frankly, we don’t expect to see much improvement in our residential business in 2009. We have opened three high quality retail projects over the last year –The Avenue Murfreesboro, which opened in October of ’07, The Avenue Forsyth, which opened in April, and Tiffany Springs MarketCenter, which – in Kansas City, which opened in June. These projects are now 80%, 62%, and 90% committed and while that is enough to cover our cost, we still face a challenge in leasing the remaining 398,000 square feet and thus maximizing our operating revenues from these projects. Now, there is really, there are really two sides to this coin. The negative is it’s 398,000 square feet left to lease in what we expect to be a tough market. The positive is every foot that we lease increases our NOI, so there is a significant opportunity here for us in this leasing opportunity. History will suggest it’s generally been a mistake to bet against our leasing team when it comes to fully leasing our retail properties. Across our retail portfolio we’ve leased 246,000 square feet of space so far this year, and are overall – and overall our operating portfolio remains at 91% leased. Now retailers are very reluctant to commit to new space in the current environment. We are working hard with a number of prospects including good local and regional tenants to fill up the rest of our space. In the mean time, fortunately, we are not forced to make any decisions about these projects due to any financing concerns. And we remain confident that our leasing team can handle the challenge. While we have a number of proposed office, retail, and mixed use development projects in our shadow pipeline, we are very cautious about starting any new developments in today’s environment and as a result we’ve pushed back our start dates in 2009 or later and will continue to evaluate these projects as we move into next year. It will be particularly important for us to fully understand the financial conditions of key retailer after the holiday season in order to ensure our commitments from these retailers are still viable and that we have sufficient pre-leasing to move ahead with our retail developments. For new office developments, the key will be high levels of pre-leasing to good credit tenants. Now, I want to comment specifically on two proposed developments. The first is Emory Point, a mixed use project in Atlanta adjacent to Emory University and the Center for Decrease Control. We previously announced that we were planning to start this mixed used development in the fourth quarter of this year. In that project we will be responsible for the retail and condominium developments while another party will develop apartments. It now appears this project will be delayed into next year due to our apartment partner’s need to find financing for the apartments in this very difficult market. For us that may not be such a bad thing, because it will give us some more time for the financing markets to improve for our condominium buyers. We and Emory continue to be extremely excited about this project and will let you know once the apartment financing issues have been resolved. The other project, which we hope to start in Q4 of this year is a new one for us, a proposed retail outlet center in Oklahoma City. This project is a 338,000 square feet development that we plan to develop in a joint venture relationship with Horizon Group Properties. We now plan to wait until we’ve seen the results of the holiday season to make sure our key retailers remain committed to the project. At this point, however, the level of interest is extremely strong and the project is nearly 70% committed. Our third-party management leasing business continues to grow and we’ve added 2.3 million second quarter of leasing and 1.7 million square feet of management already this year. Today, we have 13.4 million square feet under management and/or leasing with nine excellent clients. We have some very talented people in this area, who are continuing to grow our business, and it’s a good business to expand in capital constrained markets. We have focused this year or operating efficiently and as a result of attritions and layoffs throughout the year, we have reduced our non-property headcount by about 15%. Managing expenses remains a focus for us and we will continue to balance our desire to have top quality people who can create value for shareholders and take advantage of distressed market opportunities with the need to be frugal and mindful of our responsibility to control cost. Now, several of you have asked about possible stock repurchases by the Company. I’ll remind you that we haven’t been in the position to do this in the past month due to our black out period, but we do have a plan in place and as we move forward, we’ll continue, as we have in the past, to evaluate stock buybacks against other opportunities for use of our capital. We’ve always said our Company should be largely valued on the basis of our net asset value plus future value creation from our development process. In these schizophrenic markets, you would think investors would flock to companies with hard assets that have real value. However, in my view, our Company, like many REITs is selling well below its net asset value even at today’s higher cap rates. I assume this will change as markets regain their sanity and REITS once again sell closer to their true NAV. Our goals for the fourth quarter and 2009 are straightforward. First, lease our vacant space and keep our overall percentage leased high. Second, carefully manage our cost. And third, continue to seek out distressed real estate opportunities, both acquisitions and development that will create significant value for our shareholders over time. With that, I will conclude my remarks and turn the call over for any questions – your questions please.
Operator: (Operator instructions) Our first question is from Jay Habermann with Goldman Sachs. Please go ahead.
Jay Habermann – Goldman Sachs: Hey, good morning, Jay Habermann here with Sloan as well. Tom, just following up on your last comments about the stock and obviously the level at which it’s trading. If you weigh the different options in terms of capital at this point in the cycle, I mean where are you leaning? You’ve talked before about looking at sort of distressed land deals. I mean clearly the stock has an interesting opportunity here, but you also talked about preserving the balance sheet and keeping cash on hand as well as availability in the lines. So I was just curious as to your thoughts on those various options.
Tom Bell: Well, Jay, I think that will definitely be a subject of conversation at our November Board meeting and it exactly the right question and the right place to focus, what is the best use of our capital? We expected, as most of you know by now to have seen significant distressed opportunities that we felt – where we felt we can add real value. And we expected that that would be the highest and best use for our available capital. To-date we frankly not seen those opportunities. We have looked at many opportunity. Most of those opportunities so far have been in the residential area. But frankly we’ve not found anything to-date that’s compelling. We think the banks, frankly, and other financial owners and builder [ph] are reluctant to move particularly on their commercial properties and we know there were many extremely liberal, let me say, financing agreements made in late four, throughout five, and most of six, so we expect that in the first or second quarter of ’09 we’ll see some of these assets start to come back. So we’ll have to balance all these issues when we think about how to use our capital going forward and how to employ the partnership relationship that we have from a financial perspective, going forward. And, frankly, we are just waiting right now to make those decisions.
Jay Habermann – Goldman Sachs: And then just switching gears, you mentioned retail and obviously the bankruptcies as well as the developments in the leasing – current leasing position. Can you just give us a sense of interest level thus far in the spaces in terms of the bankrupt space and you’ve held really there?
Tom Bell: Yes, the – of the Linens ‘N Things space, in three of the four areas we have a lot of interest. It looks like two of those have a very active and interested tenant. I believe one of those (inaudible) was – be moving from elsewhere in the project and expanding. The other is another user. I think it’s a little early to say, frankly. I think we would be surprised if anyone made a decision between now and Christmas on a large chunk of space like that but let me ask Dan to fill in any details he might be able to provide.
Dan DuPree: No, Tom, I think that’s exactly right. We are not going to have real clarity on that until January or February, but the level of interest in the Linens space is – has been significant. We’ve had more time to work it. The Circuit City space, and I should point out, that they continue to pay rent. This isn’t a situation of bankruptcy at this point. And it’s a little bit newer. But it will be first quarter before we can really start moving forward on some of these proposed leases.
Tom Bell: I think just a general comment, Jay, with regard to retail leasing. I don’t what you are hearing from the other retail organizations that you follow, but we are signing a few leases, but in terms of new leasing commitments we didn’t see much at all in October and we don’t really expect to see much until we see – until these retailers see how they perform through the holiday season.
Jay Habermann – Goldman Sachs: Right. Well, that sounds consistent. And then on 10 Terminus, the sales to-date and then the 22 I guess under contract, it sounds – is it fair to say that the pricing is coming in, in line with expectations or I am just curious to get your thoughts there.
Tom Bell: Yes, so far we’ve provided no discounts at 10 Terminus, and most of our contracted parties are moving through with their closure commitments. We have had a few that have asked to delay closing because they are trying to sell another property. But by and large, the buyers that we have at that project, which are generally mature, higher end buyers, are living to their commitments. We are seeing traffic. The traffic did fall off, frankly, in October, but we had been seeing pretty good traffic, 12 to 15, what we call qualified buyers a week. And so we are hopeful. I mean the project, frankly, looks better than we had hoped. We are doing some – we do shopping comparisons. We have agents do shopping comparisons between the three higher end projects that are right there in Buckhead down the street from each other. We are about $200 a foot under the one closest to us, and almost $400 a foot under the next one. So from a value perspective, the property is holding up extremely well. I just think we have – we are going to have to wait a while and let this market clear a little bit before we are going to see real sales velocity there.
Jay Habermann – Goldman Sachs: And then lastly just on the G&A impact, obviously the lower capitalization, did that appear to be about $0.10 in terms of impact from ’08 to ’09?
Jim Fleming: It’s hard to answer that, Jay. It depends on the level of activity we have – development activity, but it certainly could be in that range.
Jay Habermann – Goldman Sachs: Okay. And your planned development starts for next year at this point?
Tom Bell: Well, we are going to look at both Emory Point and the Oklahoma City project, probably February-March as soon as the holiday numbers are in for all the retailers and we’ve had a chance to see who the winners and losers are, and then compare that to our prospective leasing opportunities in those two centers.
Dan DuPree: Yeah, Jay, this is Dan. One other thing relative to development opportunities, the capitalization doesn’t just go to projects that start in ’09. If the market improves in the latter part of the year and some of the other projects that are in our shadow pipeline become more likely then there is the opportunity for capitalization there too. So it’s just real hard to make a prediction on exactly what the level of capitalization will be in 2009.
Tom Bell: If we had to make a guess today, I wouldn’t – our guess would probably come in about where your guess is. It’s just we can't predict the future.
Jay Habermann – Goldman Sachs: Sure. No, that’s helpful. Thank you.
Operator: Our next question is from the line of Ian Weissman with Merrill Lynch. Please go ahead.
Ian Weissman – Merrill Lynch: Yes, good morning. A question on 200 Terminus. You talk about the challenges of competing with other developers in the marketplace. What’s happened to rents in the marketplace and concession packages? Is that a level of – a way to compete with competitors?
Tom Bell: Yes, in the Class A space, Ian , I would say that people are trying to hold face rates. The face rates are sort of in the $21.50 to $24 rate net depending on where the space is in the building and what building you are talking about. There is some difference between the buildings, both real and perceived. In terms of concession, I think free rent is growing sort of from the traditional six months to eight, 10, 12 months depending on how long the lease term is and what the other concessions look like. I think we are seeing TI numbers grow from the traditional Buckhead $40 number to $50-$55 once again depending on the length of the lease term.
Ian Weissman – Merrill Lynch: How have your return hurdles on that project changed then?
Tom Bell: Well if we were to factor in our best guess as to what competitive deals would be today, I think you’d see our leverage returns fall slightly and our partner’s leverage returns fall slightly, but still – and we’ve also stretched out what we consider to be the leasing period. But since – still acceptable from – in terms of Cousins’ historic returns.
Ian Weissman – Merrill Lynch: Okay. Two other questions. You know everyone in this environment is talking about the need to preserve capital. I understand you have enough liquidity for I guess the ’09, but you are over-funding your dividend. Will the Board address the dividend in its next meeting?
Tom Bell: Yes, every November that’s the meeting where we do a deep dive on our dividend and our – traditionally our – and we said this many times, I will say it one more time, we’ve always looked at our dividend coverage based on FFO and value creation because we are not FFO company. But we didn’t start much in the way of new development this year. We are uncertain about our new development starts next year because of the natures of the market. So I think this will be a very robust conversation in November when the Board takes this issue up.
Ian Weissman – Merrill Lynch: Okay. And finally, on 10 Terminus, I understand you’ve closed a number of units and you have about 22 more in contract. Have you had anyone actually walk away from deposits?
Tom Bell: We’ve had two units, I think, walk away from deposits and since we over the building and last quarter of last year or no first quarter of this year we had some contracts fall out, which we’ve replaced. So we sort of stayed within this 33 to 35 range now for a while.
Ian Weissman – Merrill Lynch: Okay. Thank you very much.
Tom Bell: You are welcome.
Operator: Our next question is from Chris Haley with Wachovia. Please go ahead.
Christopher Haley – Wachovia Capital Markets: Good morning.
Tom Bell: Hi, Chris.
Christopher Haley – Wachovia Capital Markets: I’d be interested in a bigger picture perspective, historically as well. Many are looking for opportunities in a variety of real estate commercial or residential sectors and our firm banks the like are certainly probably reticent to take those marks. Maybe it’s due to the liquidity being offered by our friendly neighbors in D.C. So as you look into 2009-2010 there is a feeling that the best deals happen later in the cycle or at the – further into the cycle, the down cycle, which maybe we are just getting into with only really a year into it. So, I’ll be interested in your perspective on balancing the near term opportunities that exists with your equity and recognizing that the equity may lead of being an indicator of what’s happening in the private market versus the patience you might have in waiting to make those direct deals.
Tom Bell: It’s a provocative question. Whereas I guess our orientation is to be patient –Craig and his team follow the investment market very carefully. We did that by the way, not just recently, but from 2004, 5, 6, we tried to look at every deal that got done. As you know, we sold almost $3 billion of assets. We knew for a fact that some of our buyers were making some very, very aggressive calls on those assets. We watched how those assets were matched. So we know for a fact that there are many commercial assets that are going to come back to the market, very good assets that have been over financed, significantly over financed and whose value have significantly decreased over the last 18 months. And we would like to get some of those assets. We’d like to buy some of those assets. We’ve seen developments, good developments and good locations that have stalled out at 50% leasing. And we expect that financing institutions will give those assets back. It has been a very slow process perhaps for the reason that you suggest, perhaps because they needed to get some of the other parts of the credit market cleaned up first perhaps because the interest reserve were enough to carry these assets for a while, but there is no way to avoid this. When that debt becomes due and they have to refinance, they are going to have to come up with significant equity, which is not available at the price that they can afford to pay, in my opinion, and they are going to be looking at significantly higher financing costs. So, we are confident the deals are out there and we are prepared to wait for them. I suspect that we’ll begin to see them shed some of these land assets earlier. We are also interested there but of course will be very cautious.
Christopher Haley – Wachovia Capital Markets: Could you expand upon that? The – you mentioned that some of the deals you see in the residential market have not achieved the hurdle rates that you desire, which – could you care to give us any color on what those hurdle rates might be in terms of whether it be finished product or unfinished product?
Tom Bell: Well, the first thing that the financial institutions seem to want to do is to get you to buy their note, and they are having some success. There is so much money out there chasing these distressed opportunities that they are having some success of selling notes. We are really not interested in buying notes, by and large. We would like the bank to take the asset through the foreclosure process so that we can deal directly with the bank and we don’t have to worry about taking on a note and then facing a bankruptcy and then a foreclosure process. So that has been the issue in some cases. In other cases, because of the turmoil in the financial industry and the few deals that we thought that we were going to do, you can't get anybody to answer the phone right now because of combinations that are taking place or because of – as you suggested the treasury department injecting capital and it being a little unclear who the winners and losers are. So, we’ve got money to invest. We’ve got partners who want to invest money with us and we are just going to wait and we think it’s probably well into ’10 before we’ll see the kind of deals and maybe even towards the end of ’10 we’ll see the kind of deals that we are really interested in doing.
Christopher Haley – Wachovia Capital Markets: Alright. That’s very helpful. Thank you. And last question has to do with the Freescale transaction. What are the – can you give us some color on this in terms of the scale of it, the size, this future cash receipts and principal several years out? What is the magnitude–?
Tom Bell: I’ll ask Craig to talk about that, if it’s alright, Chris.
Craig Jones: Again, we indicated that there was a purchase money note that – and that was a total of $18 million of which we’ll receive half of that. It carries a coupon of 5.5% payable monthly. Again, as we receive it, as we receive principal and the interest, 25% of it is still subject to the commission structure that we earlier talked about. And I think we had in this speech about when –
Jim Fleming: 2014.
Craig Jones: 2014 – there is no principal reduction until [ph] 2014.
Jim Fleming: Chris, I think the principal is payable in four installments, 2014 through 2016.
Craig Jones: That’s right.
Jim Fleming: So–
Christopher Haley – Wachovia Capital Markets: Yes, I am sorry. The issue is that sort of the holder of this is – can you give us little bit of detail on the structure, whose – who were the counter-parties?
Craig Jones: The buyer was (inaudible) Capital, but the original owner was a group out of Dallas and again we had a 50% participation interest in that, but do not – we never had any actual ownership of the asset – of the asset at the asset level.
Tom Bell: We developed this asset, Chris. It’s really a campus for Motorola. And this was I guess what would be called a back-end participation that we add and we acquired it with Faison and we acquired that business and this was probably the fifth time we’ve come very close to doing this deal and finally it worked and it’s been very fractious obviously for us, took a while.
Christopher Haley – Wachovia Capital Markets: So – and thank you for that. So over the next four years – four or five years you’ll receive just interest income on the – on your 50% share of the $10 million note and then after 2014 you’ll receive principal repayment?
Craig Jones: Right. Four different tranches on the principal –
Christopher Haley – Wachovia Capital Markets: Payable per annum or could it be paid all at once.
Jim Fleming: It’s payable in four different installments over about a three-year period.
Craig Jones: Yes. Chris, this is probably more information you need, but – or want, but it’s – there are four underlying notes. There is several different buildings in this project and there is a note on each building, a senior note. And so this – this is secondary financing and it’s tied to the payoff, the maturities on those notes (inaudible)
Christopher Haley – Wachovia Capital Markets: Craig, do you have any other of these positions on the Faison assets?
Craig Jones: No.
Christopher Haley – Wachovia Capital Markets: Okay. Thank you.
Tom Bell: Thanks, Chris.
Operator: Our next question is from Dave Aubuchon with Robert W. Baird and Company. Please go ahead.
David Aubuchon – Robert W. Baird: Thanks. Jim, I think you said you sold 486 acres. I didn’t catch where that was.
Jim Fleming: Yes, hi Dave, yes that was in Paulding County, some of our Temco land. We had an option and this is the 50:50 venture with what is now Four Star. It used to Temple-Inland. We had an option there and a – two or three years ago, we exercised the option to take down the remaining land under the option, which was about 6300 acres and so this 486 acres was a piece of that.
David Aubuchon – Robert W. Baird: Okay. And in your supplemental disclosure, Page 21 on the office, the Wachovia lease that is scheduled to expire, is that in the 2008 expiration, the 106,000 square feet or is it in the (inaudible) 2009, 374,000 [ph]?
Jim Fleming: No this is the – these are the operating properties–
David Aubuchon – Robert W. Baird: Okay, okay.
Jim Fleming: That other one is separately disclosed. And the Wachovia is separately disclosed in the development pipeline schedule there.
David Aubuchon – Robert W. Baird: Fine, okay. Has the last 30, 60 days changed your leasing strategy at all on how you attack this market? I am assuming that there is not a lot of activity out there because tenants don’t know what they are doing, certainly probably till the end of the year. But regards to One Ninety One Peachtree, I am assuming you are – you have a favorable cost position in the market anyway. Do you feel like you have to more aggressive just given the operating environment right now?
Tom Bell: Well, frankly, that one asset that you chose I would say, no, not really. It’s so well positioned in the market vis-à-vis it’s competition in downtown and we see quite a bit of momentum here at One Ninety One Peachtree. The – though we are dealing with two big users, we are – what we are seeing mostly are 7000-feet, 10,000-feet, 12,000-feet users who are rolling out of their space. They got to go some place and in many instances are coming from Midtown or Buckhead and they are paying significantly more – higher rates than they can lease here and meet our pro forma. So have it – have that much effect it One Ninety One. Now in Buckhead at $200, absolutely. We are seeing a different leasing environment. We are becoming more aggressive with the five or six clients or tenants that we are well along with. We want to get that building – we’d like to see that building 250,000 feet and relatively near term lease and so we are being more aggressive there. On the retail side, you know we are very focused in keeping our tenants in place. In some cases, tenants are coming to us who are having our time and saying we would like an extension or we would like some rent relief. Normally, we are pretty tough to deal with on those issues. We are being more flexible nowadays on that, because we want to keep our tenants in place. We know that long term it’s better to keep good tenants. And we are being much more aggressive in trying to move local tenants and regional tenants of good retailers from their present locations and – neighborhood centers and things of this nature, to our Avenue projects and we are having some success with that.
David Aubuchon – Robert W. Baird: Right, okay. And then on the office side, and I guess specifically the Terminus 200, what’s the pressure point? I mean with the conversations with potential tenants is it just pure and simple rent term or are they really trying to extract a lot of TI dollars?
Tom Bell: You know, it’s both, I think. The good news is that most users will admit that they – this is not a commodity, that all these new projects are not equal. And so we have a preferred place in the market. It is the top building in the market and generally perceived to be the top building in the market. So we get – we have a little more leverage and latitude than the other buildings, but there is no doubt that it puts pressure on concessions. No doubt about it. And I will be very frank. We have offered some tenants higher, more free rent and higher concessions than we had originally pro forma-ed in the hopes to get some deals done. And Prudential, our partner agrees with our strategy there.
David Aubuchon – Robert W. Baird: In those conversations, I believe you’ve been having the most of the year, at least in the second quarter and in the third quarter. Is it your anticipation that something we had done at the end of the year or is this a decision that’s going to be made close to year-end.
Tom Bell: With regard to what?
David Aubuchon – Robert W. Baird: Lease tenants, tenants at Terminus 200.
Tom Bell: I would hope that we get some deals done by year-end, but you know in this market – I think if you watch the market go up 12 points, down seven points, up 11 points, it’s very tough as someone suggested, for people to make decisions. We are working with three tenants who need to move. So they are going to go somewhere and it’s just a question of how quick they will pull the trigger, but it is definitely our hopes that we can get some things done by year-end or early in the first quarter of ’09.
Dan DuPree: Dave, the neat thing about it right now is there are actually people looking for space. We’ve gone through down cycles in the past where there was just nobody for you to talk to. There are, as Tom said, a reasonable number of prospective tenants who need a not insignificant amount of space that are actively looking in the market right now. So we have someone for whom we can't compete.
David Aubuchon – Robert W. Baird: Are you aware of the other 2 million square feet that’s being developed in that market? Has there been any big leases signed at the other – at your competitor’s buildings?
Tom Bell: Well, I hope it’s not 2 million feet, because bad enough at a 1.5 million, but no – no one signed a lease – non one signed any leases, frankly but us and our two restaurant leases. But so far no one, to my knowledge has signed a lease. I am sure we’d know if they had.
David Aubuchon – Robert W. Baird: Alright, thanks. Last question is just what do you guys think about what’s going to happen AtheroGenics what’s your plan right now?
Tom Bell: You know that lease is up March of next year and our plan is to – and they are still paying rent. Our plan is to make that a multi-tenant building. We made those design decisions when we built the building and that’s very strong market that Alpharetta, Norfolk market. It’s probably the best market in town right now. So I think we’ll be able to lease that building to two or four tenants.
David Aubuchon – Robert W. Baird: Then that’s in your CapEx numbers, Jim that you highlighted, that you can fund through 2009?
Jim Fleming: Yes.
David Aubuchon – Robert W. Baird: Okay. Thank you.
Tom Bell: You are welcome.
Operator: (Operator instructions) Our next question is from Cedrik Lachance with Green Street Advisors. Please go ahead.
Cedrik Lachance – Green Street Advisors: Thank you. Tom, you alluded to repurchasing shares and your NAV and can you share with us what your NAV is?
Tom Bell: Well, we can tell you that one of our analysts seems to think it’s $24 and another one thinks it’s $14 and we think that first guy is probably closer to being right than the second guy.
Cedrik Lachance – Green Street Advisors: You are going to have to talk to that second guy, I guess.
Tom Bell: Yes, I will try that, don’t worry.
Cedrik Lachance – Green Street Advisors: It’s been reported that you had an interest in Greenway Plaza in Houston, which is obviously a sizeable office complex. And in what structure are you looking at that building – at that complex and are you still interested?
Tom Bell: We think Greenwood is a great – Greenway Plaza is a great, great asset in a wonderful location and we were interested in doing it with partners where we would have a significant equity position, but definitely minority equity position. But we would manage the building and there are some redevelopment opportunities there as well, which we like. We like the Houston market generally. It would give us a big footprint in that market, make us the dominant player in one of the prime submarkets there. But, frankly, given the present credit markets and I will let Craig add anything he chooses, it is very tough to get that deal done right now. I mean it would require very significant level one lender and there are just – and, yes, we can tell they don’t exist today.
Craig Jones: Again, that’s accurate. We’ve been out with (inaudible) looking at its debt and again there is really just no activities out in the market right now for assets of that size. But that being said, we are still out there working on it.
Cedrik Lachance – Green Street Advisors: Would Greenway Plaza be representative of the kind of assets you’d be looking for and what I am thinking is it’s something about 90% leased, so doesn’t seem to qualify as distressed in anyways. And when I think of the capital that you have available for future acquisitions, or development, I find it surprising you have an interest in that complex instead of chasing sale deals or other distressed properties.
Tom Bell: Hey, well, you make a very good point. I’ll let Craig speak to the details, but I think the answer is no. That’s not what you would traditionally expect us to look at. It’s first of all larger than the deals that we normally do. And second of all, as you relate, it is a very well kept and well leased asset, but there are some underlying factors that make it very attractive.
Craig Jones: The primary thing is the existing – a good many of the existing leases are significantly under market. So even if you factor in some discount of where the present market is there is still significant bumps in those leases to the tune of $7 to $10 a foot in some instances. So that’s really more the play there.
Cedrik Lachance – Green Street Advisors: Okay. And in regards to capitalized G&A in projects or in development how many projects are you currently pursuing and how many projects you were pursuing let’s say a year ago?
Tom Bell: Well, right now, in terms of projects where we are still capitalizing, I guess there are three – we are still on Murfreesboro. Three – or so four and two of those, which are assets, which are operating, but not fully completed Forsyth, Murfreesboro, those will burn off some time in ’09. And then the two new ones that we are looking at Emory Point and Oklahoma City, we’ll have to make a decision where we will continue to consider those probable after we skip through the holiday season. And then as Dan pointed out, later in the year it’s possible that we’ll be moving some other of the projects in our pipeline into probable in which case we could capitalize against those. But I mean it would require significant change in today’s environment for us to do that.
Cedrik Lachance – Green Street Advisors: Okay. So you basically have only two projects in the shallow pipeline at this point on which you are capitalizing?
Tom Bell: Right.
Cedrik Lachance – Green Street Advisors: Okay. Maybe just one last question. When we look at Page 18-19 of you supplemental where you list the properties, there are several assets where you’ve footnote that a participation by a third party – those assets could change your economics. Can you give us a sense as to whether any of those assets may have a materially different ultimate ownership of the total economics for you versus what’s entered in the supplemental?
Tom Bell: Cedrik, the – I am just trying to look at the Gateway Village. Gateway Village we’ve talked about in the past. That’s a structure where we have a limited amount of capital. We are going to get – our expectation is to get a significant IRR on our capital, but not yet a substantial amount of upside from that. That’s a very unusual deal where there is a lease that amortizes the loan and I don’t want to go into too much detail there, but that’s an unusual one. And we’ve talked about that in the past. The other ones I really can't think of – that where you would expect to have a materially different economic result than what you are seeing from our percentage because we’ve tried to calculate our percentage as best we can based on our estimates.
Cedrik Lachance – Green Street Advisors: Okay. And as far as the industrial building in Dallas, where you don’t present your current ownership interest, what do you expect it to be?
Craig Jones: The deal in Dallas?
Cedrik Lachance – Green Street Advisors: Yes.
Craig Jones: There is really more of a promote structure in that deal, so it’s kind of hard to tell. But we have a substantial amount of the ownership of that –
Jim Fleming: The vast majority.
Craig Jones: Yes somewhere between 80% and 90% depending on how the promote works out.
Cedrik Lachance – Green Street Advisors: Okay, alright. Thank you.
Tom Bell: You are welcome.
Operator: I assure there are no further questions at this time. I would like to turn it back to Mr. Tom Bell for any closing remarks.
Tom Bell: Well, thank you everyone for participating today. As you know, we are always available to you to answer any additional questions you may have and we look forward to talking with you again next quarter. So long for now.
Operator: Ladies and gentlemen, that concludes the Cousins Properties Incorporated third quarter 2008 earnings conference call. Thank you for your participation. You may now disconnect.